Operator: Good afternoon. My name is Chris and I will be your conference operator today. At this time, I would like to welcome everyone to the First Quarter Earnings Call 2018. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]. Thank you. James Zemlyak, you may begin the conference.
Jim Zemlyak: Thank you, operator. Good afternoon. I am Jim Zemlyak, CFO of Stifel. I would like to welcome everyone to our conference call to discuss our first quarter 2018 results. Before we discuss our results, I would like to remind everyone that today's call may include forward-looking statements. These statements represent the firm's belief regarding future events, that by their nature are uncertain and outside of the firm's control. The firm's actual results and financial conditions may differ possibly materially from what is indicated in those forward-looking statements. For a discussion of some of the risks and factors that could affect the firms' future results, please see the description of risk factors in our current Annual Report on Form 10-K for the year ended December 2017. I would also direct you to read the forward-looking disclaimers in our quarterly earnings release, particularly, as it relates to our ability to successively integrate, acquire companies or the branch offices and financial advisors, changes in the interest rate environment, changes in legislation and regulation. You should also read the information on the calculation of non-GAAP financial measures that is posted on the Investor Relations portion of our web site at stifel.com. This audio cast is copyrighted material of Stifel Financial Corp. and may not be duplicated, reproduced or rebroadcast without our consent. Our chairman and CEO, Ron Kruszewski, will now review the firm's results. Ron?
Ron Kruszewski: Thanks Jim and good afternoon to everyone and thank you for taking the time to listen to our first quarter 2018 results. Earlier today, we issued a press release with our quarterly results and we have posted a slide deck on our web site. As you can see from the highlights in the table on slide 2, we are off to a good start in 2018, as our business continued to build on the momentum we generated over the past few years. Our total revenue came in just above $750 million, which was up more than 11% in the first quarter of 2017, and our expense ratios declined year-on-year. We generated non-GAAP pre-tax margins of 17.3%, which was 240 basis point improvement from the first quarter of 2017, and non-GAAP EPS of $1.50, which was up 55% year-on-year. Of note, that while our EPS growth benefitted from a lower tax rate, if you applied our current tax rate to our first quarter 2017 results, our EPS would still have increased by $0.25 or 28%. I am particularly pleased with this quarter's results, as we are coming off record results in the fourth quarter of 2017. We had expected a sequential pullback in the first quarter, due to seasonality and some pull forward of public finance activity. But I believe that our year-on-year growth underscores the diversity and strength of the business that we are building. Our recurring revenue lines represented 41% of total net revenues, as both asset management and net interest income generated record results. Additionally, we continue to generate strong growth in investment banking revenue, as our advisory revenues increased 85% year-on-year and equity underwriting revenue was up 47%. This more than offset the continued headwinds facing our institutional brokerage business, and the expected slowdown in debt underwriting revenue. Moving on to the next slide, let's take a close look at our brokerage and asset management revenues. Global Wealth Management revenue and fees increased 7% year-on-year due to continued growth in our asset management fee revenue, that was up 20% year-on-year, and up 5% sequentially, as a result of continued migration to fee-based accounts. This more than offset the 5% year-on-year decline in global wealth manager brokered revenue, which was negatively impacted by declines in fixed income trading. As asset management becomes a more significant portion of total revenue, we have been asked to provide greater detail on what comprises this revenue line. In our press release this quarter, we included a breakout of the assets, revenues, and fee capture rates for fee-based accounts, asset management and our third party bank programs. Moving on to the institutional side of our business, our institutional equity trading declined 3% sequentially and 11% from the same period a year ago. We didn't see the benefit of increased industry-wide average daily volumes or the spike in volatility during the quarter, as much of this was generated or much of the increases were generated by higher volumes from quant and high frequency traders, as well as increased option traders. Given the implementation of MiFID II at the beginning of the year, I am sure most of you will want to know, this was also responsible for the declines in our institutional revenue. Generally, I would say that MiFID did have some negative implications for institutional business, but some of our larger global clients attempt to deal with those new regulations. However, I think it is still too early to draw any long term conclusions from just one quarter's results, and some of the changes in client activity, as I believe, that some of the changes in client activity may be timing related. My guess is, we will have a better understanding of MiFID in the second half of the year. As I said before, while MiFID won't be good for the industry, Stifel's business has enough breadth and depth to remain relevant to our clients, and will continue to adapt our business to any long term trends in the operating environment. The market environment remains challenging for our fixed income business, as market conditions in the first quarter were similar to those in the fourth quarter. As such, fixed income revenue was down slightly from the fourth quarter, which was relatively in line with the guidance we gave in our last earnings call. We continue to see a flattened yield curve in the first quarter, with the spread between the 2 and 10 year treasury note well below historical average. This resulted in clients moving to shorted paper and floating rate products, that generate lower margins to our trading business. Consequently, taking all these stocks is in consideration, firm-wide brokerage revenues of $264 million were essentially flat sequentially, but down 10% year-on-year. Moving on to the next slide, we take a close look at our Investment Banking revenue. We generated another strong quarter in Investment Banking, despite an industry-wide slowdown in municipal issuance. Our Investment Banking revenue of $176 million in the first quarter was up 39% year-on-year, as the investments we have made into our franchise continued to generate strong returns across a number of verticals, as the operating environment remains generally receptive to transactions. I'd also note that our first quarter revenues were positively impacted by an accounting change to Investment Banking revenue. As a result, firms must now break out Investment Banking deal expenses as opposed to previously netting them against revenue. So on an apples-to-apples basis, excluding the impact of this accounting change, our Investment Banking revenue would have been up 32% year-over-year. In addition, this accounting change impacted the financial ratios of our Institutional segment, which I will address in the segment results later in the presentation. Moving on, we generated advisory fees of $98 million in the quarter, which was up 85% from the first quarter last year, and represented our strongest first quarter advisory results in history. FIG continued to be our strongest protocol in advisory, and was responsible for the majority of our 10 largest fee. We also saw solid results from technology and healthcare, which are historically some of our larger verticals, and we are getting traction in energy and industrials, which are verticals that we have been investing in. Capital raising revenue of $79 million increased 6% in the prior year quarter, as a 47% increase in equity underwriting revenue more than offset a 30% decline in debt underwriting. The increase in market volatility and decline in the S&P 500 did not have a material impact on our underwriting business in the quarter, and the strength of our equity underwriting revenue was broad-based. In the U.S., healthcare and FIG were our strongest protocols, but we also generated meaningful fees in tax gaining and industrials. I would also like to highlight the contribution of our United Kingdom team, as Stifel was the number one equity underwriter in terms of United Kingdom book run deal value in the first quarter. This is a significant accomplishment for Stifel, and particularly, for our team in London, as it underscores the returns we are seeing from the investments we have made in this market. As our revenue in our London based business has increased by more than 400% versus the first quarter of 2013, while our headcount there has risen from 68 to 272. We are optimistic about the future of this business, and I want to congratulate our London team on their effort. As I mentioned on our fourth quarter call, we expected public finance to be relatively weak in the first quarter, due to the pull forward of activity into the fourth quarter, as a result of concerns regarding changes to the tax code. We generated a little more than $18 million in debt underwriting, which was down 57% sequentially and 30% year-on-year. The declines in debt underwriting revenue were pretty much in line with industry-wide declines in total municipal bond issuance, which were down 59% sequentially and 31% from the first quarter of 2017, based on six months data. The next slide focuses on our growth in net interest income, which totaled $111 million, and increased nearly 31% from the first quarter of 2017, as we continue to grow our bank balance sheet, and expand our net interest margin. Our consolidated net interest margin continued to improve, reaching 243 basis points, up 7 basis points sequentially, as a result of increases in the Fed funds rate, as well as improvements in the yields of our loan portfolio. The increases to the yields and our loan on securities book, were driven by an increase in the 90-day live order in the quarter, as most of our assets are tied to this benchmark. On the liability side, the average yields on deposits increased by 12 basis points sequentially, primarily as a result of deposit betas from the most recent Fed funds increase. Last quarter, we commented that our bank interest margin was expected to be flat to down 5 basis points in the first quarter, due to two less trading days in the fourth quarter of 2017, as well as the impact of a full quarter of higher deposit yields. However, the bank NIM was up 4 basis points. The stronger than expected net interest margin was due to the increase on LIBOR rates, which essentially offset the impact of fewer calendar days and increased deposit rates. Bank NIM also benefitted sequentially by approximately 5 basis points, due to CLO accretion on loan fees from early prepayments. In terms of our expectations for bank net interest margin in the second quarter of 2018, we expect each to be up 5 to 10 basis points, as we continue to benefit from the increase in LIBOR, the March increase in Fed funds, as well as an additional day in our interest calculation, as compared to the first quarter. In the next few slides, I will touch on the quarterly results from our two primary segments. So, starting with Global Wealth Management, net revenue of $486 million was up 3% from the prior quarter's record results and increased 10% from the 2017 comparable quarter. Wealth Management continues to benefit from the shift to fee based accounts, as well as the growth in Stifel Bank. These trends drove record asset management service fee revenue, as well as record net interest income. We ended the quarter with record total fee based assets of $89 billion, up 2% sequentially and record total client assets that were up 1% sequentially to $275 billion. As noted, the strong growth in private client fee based assets, which were up 22% year-on-year to $66 billion, was the primary driver of our asset management revenue growth, as private client fee based revenues rose 27% to $147 million during the quarter, and accounted for 75% of total asset management and fee revenue. As a reminder, our private client fee based revenues are priced off a trailing quarter and asset levels. So the 3% increase in private client fee based assets last quarter, should provide a tailwind for our second quarter asset management revenues. Our comp ratio in the first quarter 49.8% was down 180 basis points from the first quarter of 2017 and our non-comp ratio of 13.8% declined 250 basis points, as the growth in bank revenue and our focus on expense management continued to generate positive results. Improved revenue on lower expense ratios resulted in pre-tax margin of 36.4% that was up 430 basis points year-on-year. Our advisor headcount increased by 22 net advisors sequentially. While our recruiting efforts have increased over the past year, as concerns regarding the impact of the fiduciary role subsided, we continue to see elevated levels of retirement, negatively impact our advisor headcount totals. That said, Stifel was able to retain most of the client assets from retirement advisors. We would expect the number of retirements to decline in the next few quarters and our recruiting efforts should result in improved advisor growth. The quality of our wealth management franchise was illustrated by the fact that J.D. Power ranked Stifel third in their 2018 U.S. full service investor satisfaction study. Stifel has long fostered a culture that emphasizes the importance of the advisor-client relationship. As we look forward, we believe it is critically important to combine digital and mobile technologies with great relationships and human goals-based advice. Against this backdrop, we are enhancing the client experience by investing in state-of-the-art technology, including integrated e-signature capability, enhanced mobile technology and client reporting, as well as the introduction of Entice [ph] our proprietary client wealth management tool that allows investors to aggregate assets from multiple sources, and use custom tools to better understand their financial situation and plan for the future, using customized advice. Before moving on to the bank, let me comment on the recent developments regarding the fiduciary role. We were pleased to see the SEC's recent proposal regarding enhancements to the best interest standard, uniform account opening procedures and several new disclosure requirements. Our initial reviews indicate that the proposed rule is relatively in line with the ideas we put forth in our comment letter last July, and will strengthen all levels of care in the industry, while protecting client choice. Early next month, we expect to see whether the Fifth Circuit repeal as the DOL regulation stands, so we could focus on the SEC's more balanced approach. All in all, this appears to be headed in the direction that preserves investor choice, as well as both the 1934 and 1940 Act business models, and will enhance client protection. On the next slide, we take a closer look at Stifel Bank and Trust, which drove our 6% sequential increase in Global Wealth Management net interest income, as net interest margin and average interest earning assets at the bank increased from the fourth quarter. Total bank assets increased to approximately $15.2 billion, as average interest earning assets increased $330 million sequentially to $14.9 billion. Stifel Bank is where most of our balance sheet resides. To put this in perspective, total bank assets comprised 70% of Stifel's consolidated assets and 84% of average interest earning assets. Bank loans increased 2% sequentially, driven by strong growth in commercial and mortgage lending. I'd also note that security based lending increased modestly year-on-year. Investment securities increased 1% sequentially, as growth in CLOs and corporates offset modest decline in other investment securities. We continue to focus on high quality, short duration assets that provide attractive risk adjusted returns. The increase in CLOs as well as interest accretion led to a book yield of 327 basis points, up 38 basis points sequentially, while duration remained flat at 1.6 years. The provision for loan loss expense in the quarter decreased sequentially to $2 million from $5.4 million, due to relatively modest loan growth. Our allowance for loan loss as a percentage of loans increased sequentially to 97 basis points. Overall, our credit metrics remain solid, as the non-performing asset ratio was 14 basis points, which was down 4 basis points sequentially, due to a decrease in our non-performing assets. During the quarter, we raised the yields on our deposits by an average of 16 basis points, which equates to a 64% deposit beta. This is up from the 40% deposit beta in the prior Fed increase. Future deposit betas will be determined by competitive forces in the market, but we believe that our current deposit pricing is in line with the broker deal and insurers banks we program of our competitors. Moving to the next slide, institutional business generated quarterly revenue of $270 million, up 14% from the same period a year ago. Our growth was driven by continued strength in our Investment Banking business, as the environment for our advisory and equity underwriting remained strong. As you can see from the table on the right of the slide, revenue in our equity business was strong, as total revenues improved 40% from the first quarter of 2017. Our advisory business, as I have said, continued to benefit from solid demand and improved operating environment, as well as investments we have made over the last few years. These factors resulted in an 85% year-on-year increase in revenue, despite increased volatility and a decline in equity markets during the quarter. As we look forward, the environment for advisory remains solid, as our pipelines remain consistent with those at the end of last quarter and the end of the first quarter of 2017, as we are seeing solid demand in FIG, industrials, healthcare, technology, as well as energy. For equity underwriting, our outlook is similar to our advisory business, as our pipeline remains healthy across a number of verticals, that again include financials, healthcare, technology, as well as natural resources. We are also seeing continued momentum from our United Kingdom, as activity levels there remain solid. Our fixed income business slowed, as a result of the continued headwinds of fixed income trading, as well as the expected pullback in public finance issuance. Debt capital has weakened both sequentially and from the same period a year ago, due to the expected industry-wide decline in municipal issuance, spawned with surge in activity in the fourth quarter. Although the volume decline negatively impacted our business, nevertheless, Stifel ranked number one nationally in the number of senior managed negotiated new issues, and our market share was 11.5%. Following 2017's strong results, we expected revenue to be down, as 2018 is likely to be a year of transition, due to rising rates, the prohibition of advance refundings, and the pull forward of activity into 2017. That said, we expect the second quarter to be an improvement from the first quarter and that the second half of 2018 will be stronger than the first half. I have already addressed the headwinds in our Institutional Brokerage business in the quarter, and we expect those conditions will likely impact our results in the second quarter of 2018 as well. In terms of equity trading, we are continuing to adjust our business to reflect the changing operating environment, while barring a significant improvement in this environment, we would expect the second quarter to be roughly in line with first quarter results. For fixed income trading, our revenues were essentially flat sequentially, as our decline in flow-based revenues was partially offset by trading gains. While still early in the quarter, we would expect our fixed income brokerage business to be marginally weaker in the second quarter compared to the first quarter. As I mentioned earlier, the change in the accounting treatment of certain deal related investment banking expense has impacted our institutional business in the quarter, by roughly $9 million on both the revenue and expense line. The table on the right side of the slide, illustrate our reported results, as well as the impact that the new accounting rules had on some of our major operating metrics. So excluding the new rule, net revenue would have been up 10%, our comp ratio of 59% would have been 61%, which would have been up 50 basis points year-on-year, as we continue to invest in this business. Our non-comp ratio of 24.5% would have been 22%, which was down 70 basis points year-over-year, and our pre-tax margin of 16.5% would have been 17% in the quarter. Now, moving to the balance sheet; I have already discussed our bank and the asset growth we have generated there, but on this slide, we will look at our consolidated balance sheet and our capital ratios. We finished the quarter with $21.7 billion of assets from our consolidated balance sheet, which was up $330 million from the prior quarter, and nearly $2.6 billion from the first quarter of 2017. Our firm-wide average interest earning assets increased by only $35 million to roughly $18.1 billion, as the growth in average bank assets during the quarter was offset by a decline in client-brokerage activity and in corporate cash, due primarily to the timing of annual compensation payments. We target $2 billion to $2.5 billion of asset growth for the year, for our quarterly growth lag on a run-rate basis. However, as we have said before, our quarterly asset growth will not be linear, and that we will be opportunistic in adding assets to our balance sheet, as we have looked for the best risk adjusted returns. That said, we expect asset growth at the Bank in the second quarter to exceed asset growth in the first quarter. We finished the quarter with tier-1 leverage of 9.6% and tier-1 risk based capital of 18.7%. Our tier-1 ratios were impacted by the fully phased in U.S. BASEL III rules. Excluding the fully phased in rule, our tier-1 leverage would have been 9.8%, and our tier-1 capital ratio would have been 18.8%. As I said in our last call, following the moves we made in the fourth quarter to take advantage of the tax law changes, we will continue to rebuild our capital ratios back to our historical targets of 10% and 20%. While we believe that we will get back to these levels relatively quickly, we will then continue to deploy our excess capital to generate the best risk adjusted returns. Book value of $38.49 increased by $0.23 in the quarter. We also took advantage of a pull back in the price of our stock to repurchase shares. So far in 2018, we repurchased 381,000 shares at an average price of $57.24. We have 6.7 million shares remaining in our current authorization, and as we have always said, we will look to opportunistically repurchase shares when we feel as appropriate. Next, we will move on to the reconciliation of our GAAP and non-GAAP results; on slide 13, we review our expenses for the quarter and the impact of our non-GAAP adjustments. Before I get into the details of our expense, I want to touch on the convergence between our GAAP and non-GAAP results. In the past two years, I have been telling you that the difference will significantly narrow beginning in 2018 and you can see, from our first quarter results, the difference is only $0.09 per share between our GAAP and non-GAAP results. To put that into perspective, in the fourth quarter of 2015, our GAAP EPS was 42% of our non-GAAP total. In the first quarter of 2018, GAAP EPS equated to 92% of non-GAAP, and we expect that the non-GAAP charges will continue to diminish throughout 2018. In terms of our non-GAAP expense results, they were roughly in line with Street estimates. Our comp ratio of 60.5% declined by 180 basis points in the first quarter of last year. It was in line with our guidance, at the high end of our annual range of 59% to 61%, but was below Street expectations. Our annual guidance range for the year remains appropriate, barring any significant change in our revenue levels or composition of revenues. But we would expect our quarterly comp ratio to trend downwards during the year. Non-GAAP operating expenses, excluding the loan loss provisions were just under $165 million, and were just above the high end of our guidance. While there were a number of factors that contributed to the elevated non-comp levels in the quarter, the primary driver was the impact as we had previously discussed, $9 million of Investment Banking dealer spent was now incorporated in our non-comp line, due to the change in accounting. In our guidance on the last call, we estimated the impact of accounting change to be approximately $3 million. So this accounted for approximately $6 million of elevated expenses. We also had a catch-up in an acquisition related expense of $1 million. Excluding these factors, our non-comp expense would have been approximately $158 million, which was around the midpoint of our guidance. For the second quarter of 2018, we adjusted our non-comp guidance to exclude both loan loss provisions and Investment Banking deal expenses. I'd note that historically, we estimate that our Investment Banking related expenses represent approximately 5% of quarterly Investment Banking revenue. So that being said, we are guiding to non-comp expenses between $154 million and $160 million in the second quarter. While we continue to focus on expense disciplines, the growth in our business has resulted in additional expenses tied to technology, bank growth, and market, that will add some increased expenses versus recent quarters. Lastly, in terms of share count; fully diluted share count came in below our forecast and decreased by nearly 500,000 shares during the quarter, due to a decline in our share price. Barring any additional share repurchases or material fluctuations in our share price, we would expect our fully diluted share count to be approximately 82 million to 83 million shares by the end of the second quarter of 2018. So before I open the call for questions, let me conclude by saying, that our strong performance in the first quarter was a result of our long term focus of becoming a premier middle market investment banking wealth management firm. We have invested heavily in products and talent, in order to be able to offer our clients a wide array of services on an international scale, and our revenue and EPS growth reflects the success of that strategy. Our diversified business model was evident, as our growth in Investment Banking, asset management in our bank produced double digit revenue and earnings growth in the quarter. As I look forward into the second quarter, I continue to feel good about our business, despite some increased volatility in the equities market. Our Investment Banking pipelines remain strong. We continue to grow our bank balance sheet and growth in our private client business should continue to drive increased revenues. We have also taken significant steps to improve our margins by focusing on cost efficiency, and we will continue to reinvest in the growth of our business. But we will also maintain our expense discipline, that has helped to contribute to our earnings growth over the past few years. So with that operator, I would open up the line for questions.
Operator: [Operator Instructions]. Your first question comes from Steven Chubak with Nomura Instinet. Your line is open.
Sharon Leung: Hey, good afternoon. This is actually Sharon Leung filling in for Steven. So I guess the first question is, could you just elaborate a bit on the FIG impact from what you noted, the higher activity in shorter duration bonds? Should we expect that to continue, is that kind of built into your guidance [indiscernible] in 2Q as rates move higher, or do you think that was something unique to 1Q?
Ron Kruszewski: It was more looking at what happened in 1Q. I am not sure I can predict what's going to happen in Q2. But, as rates increase, there has been a tendency to stay on the shorter end of the curve. I would expect that to continue. But overall, it's built into our view into the second quarter.
Sharon Leung: Okay. And then, just one on market sensitivity, one of the concerns that we have heard from some clients is, the historical relationship between IB and trading revenues suggests that, some of your businesses may be more impacted, if the market choppiness persists. Like what is your outlook, if that happens, and do you believe there are any offsets?
Ron Kruszewski: First of all, pipelines are strong. Any time you have volatility increases, I would say that volatility tends to impact the equity underwriting more than the advisory line item. But overall, we are not seeing -- we have had such historically low volatility, that the recent increase in volatility has not really impacted our business, and frankly, doesn't really impact my viewpoint as I sit here today.
Sharon Leung: Okay. And then, one last one if I can; really appreciate the new disclosure on the off-balance sheet cash. Should we expect that $3.7 billion to go to zero, as you continue to fund bank growth, and then also, what's the reasonable pace of organic cash build that we should expect in wealth management?
Ron Kruszewski: Again, I think, first of all, those are balances that are swept away, so you don't see all of our balances that we sweep internally. I wouldn't expect it to go to zero, but we are always looking at being the most effective, considering a number of factors, including insurance levels and various factors that impact cash levels. But as we sit here, I think our funding sources are solid, and we will continue to disclose the number. We will see where it goes.
Sharon Leung: Okay, perfect. Thanks for taking the time.
Ron Kruszewski: Sure. Thank you. Tell Steven we said hello.
Operator: Your next question comes from Devin Ryan with JMP Securities. Your line is open.
Devin Ryan: Hey, great. Good afternoon Ron. How are you?
Ron Kruszewski: Devin, how are you? Good.
Devin Ryan: I am doing well. So question here, just on kind of the flow of client assets to fee base. It has been a really good story now, looks like a third of client assets are fee based. And so, could you try and get a sense of, kind of this migration and kind of where maybe we are for Stifel? Is there a level, as you are thinking about this, as it were -- could start to level out or the growth could slow or do you just still think we are kind of early days with Stifel migrating those kind of brokerage assets over to fee based?
Ron Kruszewski: Well again, you got to remember, look at it in terms of 61% of our wealth management revenues are recurring. And so, I think you remember, 40% of our revenues are institutional. So you have got to look at overall, what's going on in wealth management. I think there certainly was a impact by the DOL rule as to accelerate across the industry a migration of fee based accounts. We certainly saw, depending on how all this shakes out, I would think that the historical trend line, as to migration looks slow, because of a lot of reasons to do that. But overall, we will continue, I believe, to see more fee based accounts. From my perspective, it's a client choice, and we will continue to provide options for clients. We don't skew anything, including our compensation systems to encourage any kind of activity, including fee-based. So as I usually say, water will find its own level with that. But I would expect the trendline with the DOL will, now being reproposed by the SEC, there won't be as much of a need for fee-based accounts to comply, with what otherwise the DOL was prescribing.
Devin Ryan: Got it. Okay. Very helpful. And then, you mentioned proprietary kind of technology and technology being a theme of investment. I guess the one proprietary element sounds interesting. I mean, how are you thinking about building some of these technology capabilities, that may be differentiated, versus partnering or kind of using outside vendors? And how does that affect kind of the thought of cost, I guess, as you are obviously -- it's a little bit of an inflationary element within expenses?
Ron Kruszewski: Well first of all, I think that we are in a great position, as I look forward in that technology combined with human goal based advices is going to be a winning model. And that certainly has been our thought, and we are investing in that. With respect to what we are doing, in many ways, we are taking a variety of outside vendors. We are not a software company, and don't pretend to be a software company. But I think we are pretty good at melding various technologies that are available, into something that will be proprietary, without a developing proprietary. So we have -- our current endeavor, I think, in a broader sense is melding together six vendors, which are best in class of what we do, and we believe we will have a best in class end product.
Devin Ryan: Okay, terrific. Thanks Ron. And then just last quick one here, just around the recruiting outlook. So it sounds like the hope here is, the next few quarters, things pick up a bit. And I am just curious and the question is around broker protocols, it has been a little bit quiet recently. Does that not seem to be having much affect on broker mentality there, within firms that have exited or firms that are still in it, and as you are just looking at the people that you are seeing, maybe the most flow from, in terms of the home-office visits and having conversations. Is it firms that -- or individuals with protocol firms or non-protocol firms, or just like where are they coming from?
Ron Kruszewski: Look, any time you have a change in anything, you are going to impact activity. In the initial coming out of the gate, certainly, there was a chilling on the recruiting aspects in the firms that have elected to remove themselves from protocol. But that sort of hits bottom and then it improves, because people are not indentured, they are going to work, they want to work, and the industry will adjust. As I said before, I find that leaving protocol is not a good thing for clients, and I have made that argument. It has put a damper on recruiting, but the trendlines will improve from here. You are not -- people are going to be where they want to be, and clients have a right to choose where they want to do business. Hence, there shouldn't be any -- at least, I don't believe that you should be using the courts to prevent client choice.
Devin Ryan: Got it. Okay. Thanks Ron. [indiscernible].
Ron Kruszewski: Thank you.
Operator: Your next question comes from Chris Harris with Wells Fargo. Your line is open.
Chris Harris: Thanks. Hey Ron.
Ron Kruszewski: Hey Chris.
Chris Harris: So I think you mentioned that, most of your $7 billion loan portfolio is tied to LIBOR. So curious to get your thoughts about the pace of increases we are seeing with respect to LIBOR. And at what level might that be bit of a problem for your borrowers in terms of higher cost of borrowing?
Ron Kruszewski: Well, you did have a little bit of like almost basis spreads between LIBOR and Fed funds. I don't think that that will continue unabated. You know, LIBOR is going to get replaced here, and I think that -- if the general question is, if you are talking about LIBOR relative to Fed funds and that spread, you are just talking about, in general, increasing rates and that's your --
Chris Harris: Yeah, just increasing rates and the impact on your borrowers.
Ron Kruszewski: Our borrowers, I believe, we are -- our loans are very conservative, well capitalized, where a lot of them -- or no one likes to pay more on interest rates. But I believe, our underwriting standards are very strong, in that regard. As you move down the credit cycle, in terms of what I would call, leveraged loans and some of that, that remains to be seen, as to the rolling of some of the debt. That's not a big impact for us, all right. But for the market, there is -- you can read a lot about the impact on the leverage loan market, if LIBOR would be up 200 or 300 basis points, which I don't see any time soon.
Chris Harris: All right. And capital markets, I appreciate your commentary, as it relates to the fixed income business. I am just wondering, what kind of environment do you think this business needs to really start to improve? Is it all about the yield curve or there are other factors at play that need to kind of fall on the line?
Ron Kruszewski: Within our fixed income?
Chris Harris: Yes.
Ron Kruszewski: There is factors, both secular and cyclical impacting fixed income. Certainly, the flattening of the yield curve is cyclical, yet the trend towards more electronic trading is secular. I personally believe, that we are bouncing around at the low ends of activity in fixed income, and I believe that, there is a lot of activity that needs to be done, once yield curve sort of stabilizes and people get off to stop [ph] process of exactly what the fed is going to do, what the tenure is going to do. I think there'd be a lot of restructuring of portfolios from short end to move out on the yield curve, and I think, in the end, our fixed income business will improve. But that's just my opinion. Looking forward, I am not sure that the activity levels -- I mean, it has been a tough environment. Can it get worse? Of course again. But I believe, it will get better.
Chris Harris: Great. Thank you.
Operator: [Operator Instructions]. Your next question comes from Conor Fitzgerald with Goldman Sachs. Your line is open.
Conor Fitzgerald: Hey, good afternoon.
Ron Kruszewski: Hey Conor.
Conor Fitzgerald: Hey. How are you doing?
Ron Kruszewski: Good.
Conor Fitzgerald: Just a couple of questions on the NIM. Wanted you to just give us a little color on where your new money yield is on your securities book, just trying to think about how we should think about that yield tracking? And then second, kind of a follow-up to Chris's question, but if I look at your NIM outlook for a plus 5 to 10 basis points quarter-over-quarter, if you could just elaborate on what you are assuming for LIBOR to do in that scenario? Just want to assume, if you are assuming spreads to be [ph] wide or if LIBOR tightens versus Fed funds, when you are thinking about that 5 to 10 basis point number?
Ron Kruszewski: Look, there are a lot of moving parts in that question, Conor. I mean, I think we are taking a -- our environment today into protecting it forward. I mean, if LIBOR would significantly tighten compared to Fed funds, that would impact our NIM negatively, and vice versa. But I would say that, I am confident with what we have said for the first quarter, and I mean -- for NIM in the second quarter, but obviously, that's based on today's environment, and it would be hard for me to try to project what could happen. There is a lot of things that obviously could change that. But I am fairly confident. You will see an expansion in our NIM in the second quarter.
Conor Fitzgerald: Thanks. And just the new money yield on your securities portfolio?
Ron Kruszewski: I mean, what yield are we buying securities at today?
Conor Fitzgerald: Yes.
Ron Kruszewski: You got me on that one. 3.4%, 3.5% something like that. But I will tell you what, I will have someone get back to you on that one. Is that all right?
Conor Fitzgerald: Yeah, no rush. And then just did want to ask on your client money market and injury [ph] product, just declining a little bit, it's a trend we have seen across the industry. Just want to get your view on how much of that is your clients rotating into equities or other markets, just given some of the longer term, any way a trend we have seen in upward markets or how much of that is your clients or maybe a little yield sensitive seeking alternative cash like products, like purchased money market funds? Would just love to get a little color there? Thanks.
Ron Kruszewski: Look, I think, it's a little above us. I think that we certainly see clients that are investing, rotating on cash and other products. And I believe, that the industry across all financial institutions will be dealing with these deposit betas and what the rates need to be personally. I haven't got any discussions, while we will be competitive going forward on rates, I think we are near the end of or I should say, deposit betas are going to get close to one. If you look at our capture rates in our press release, I think that's at an historical pre-easy money policies. So I think the industry across the board is going to be looking at -- I will be looking at today, people becoming more sensitive to rate, as they should, and we are cognizant of that. So we will see how it goes. I think the trends that we -- if we are not passing more of the sign, I think you will see more migration away. So my personal belief, is that deposit betas are getting pretty close to one, going forward.
Conor Fitzgerald: That's helpful. Thanks. And then just, on the outlook for M&A, maybe specifically in financials. When you are talking to your clients, do you think that they have enough certainty on the regulatory outlook to maybe see a resurgence in deal activity, or do you think we are still in somewhat of a wait and see mode for some of these deals, until we get certainty whether it's around stress testing or the $50 billion threshold or a host of other regulatory issues?
Ron Kruszewski: Well, look, I think the regulatory environment certainly is more conducive to bank mergers, almost any way you want to look at it. But the bill, Crapo's bill, and the $50 billion is huge in terms of -- and my, in terms of perception, what it means to the stress test, I think that's big. So there are a lot of factors, but I think that's a big one.
Conor Fitzgerald: Thanks for taking my questions.
Operator: This concludes the Q&A session for the conference. I'd now like to turn it back to Ron Kruszewski for closing remarks.
Ron Kruszewski: Well, I would like to say that I am pleased with our quarter. It was a very strong start to 2018. I am optimistic about our future and look forward to reporting to you on our second quarter results. Have a great day. Thank you.
Operator: This concludes today's conference call. You may now disconnect.